Operator: Greetings, and welcome to Weave's Fourth Quarter and Full Year 2025 Financial Results and Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. [Operator Instructions] I would now like to turn the conference over to your host, Moriah Shilton, Investor Relations. Thank you. You may begin.
Moriah Shilton: Thank you, Kevin. Good afternoon, everyone, and welcome to Weave's Fourth Quarter and Full Year 2025 Financial Results Conference Call. With me on today's call are Brett White, CEO; and Jason Christiansen, CFO. During the course of this conference call, we will make forward-looking statements regarding the anticipated performance of our business. These forward-looking statements are based on management's current views and expectations, entail certain assumptions made as of today's date and are subject to various risks and uncertainties described in our SEC filings. We've disclaims any obligation to update or revise any forward-looking statements. Further, on today's call, we will also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. Unless otherwise noted, all numbers we talk about today will be on a non-GAAP basis, which excludes onetime acquisition-related costs, amortization of acquired intangible assets and stock-based compensation. A reconciliation to comparable GAAP metrics can be found in today's earnings release, which is available on our Investor Relations website and as an exhibit to the Form 8-K furnished with the SEC before this call as well as the earnings presentation on our Investor Relations website. Before I turn the call over to Brett, we want to let you know that we'll be participating in the Raymond James Institutional Investors Conference on March 2 at the JW Marriott in Orlando, Florida. And with that, I will now turn the call over to Brett.
Brett White: Thank you, Moriah, and thank you to everyone joining us today. We've delivered another strong quarter in Q4 with 17% year-over-year revenue growth, gross margin expanding to a company record of 73.3% and operating income increasing to $2.3 million, our highest level, both in dollars and as a percentage of revenue. This marks the 16th consecutive quarter of meeting or exceeding the high end of our revenue guidance range. For the full year, we generated 17% revenue growth and 24% growth in free cash flow. These results demonstrate the strength of our model, consistent top line growth, expanding margins and disciplined cash generation while continuing to advance the platform for our customers. We're proving we can scale profitably and deliver new capabilities that deepen Weave's value to the practice. At our core, we serve the professionals who care for patients. Our customers provide care at every stage of life from the first pediatric visits to restorative procedures, chronic care management and everything in between. They are trusted professionals delivering essential services in their communities. Health care is fundamentally human. AI will not replace providers, it will amplify them. What it can do and what we are building toward is removing the administrative friction that pulls people away from patients. Our vision is simple: elevate patient experiences through a unified platform that improves business operations so health care professionals can focus on patient care. This vision is not a slogan. It guides how we build, invest and operate. The health care industry is one of the largest and most complex in the world, making it right for AI adoption, and SMB practices have historically been slow to embrace digital transformation. Health care professionals navigate increasing administrative burdens like staffing shortages, rising patient demand and reimbursement complexity. They require technology solutions to manage growth, communication, schedules, billing, insurance and payments, so they can focus on the patient in front of them while staying competitive in the local markets. Missed patient calls, scheduling challenges and shifting insurance dynamics waste time, reduce patient satisfaction, increase burnout and strain practice revenue and profitability. These operational inefficiencies create a clear and durable opportunity for automation and value creation. That's where Weave comes in. Weave is the unified AI-powered patient communications and engagement platform purpose-built for small- and medium-sized health care practices. We bring together AI agent and practice staff conversations across voice and text into unified workflows. Weave is the orchestration layer that helps practices continuously improve patient relationships, proactively assigns tasks for staff follow-up and delivers insights so practice owners can measure, analyze and optimize. Weave is a mission-critical practice system of work, built at the center of patient interactions 24/7. All conversations flow through Weave, creating operational data to drive process continuity inside our platform. This continuity extends across communication channels. A patient conversation can begin on the phone, continue over text with an AI agent and escalate back to a staff member when needed. Our platform treats this as a single persistent interaction, preserving contacts end-to-end, so patient requests are addressed sufficiently. This is coordinated teamwork between the Weave AI platform and the practice staff we support. Weave is powered by authorized secure integrations with practice management systems, making our platform reliable enough to manage scheduling, insurance verification, billing and payments. This goes well beyond responding to basic inquiries. As customers continue to recognize the value of our agentic workflows, Weave evolves from a product that practices use to an always-on teammate they rely on. We reduce administrative burden, improve conversion and collections and free staff to focus on high-value patient care. Most importantly, we strengthen the patient practice relationship, which ultimately drives more revenue and profitability for our customers. With communication history, automation and real-time performance insights, all in Weave, practices run smarter, grow faster and build lasting operational resilience. Customer reliance on Weave makes our platform indispensable, strengthening customer retention, expanding share of wallet, increasing customer lifetime value as we continuously add value through AI-powered solutions and additional products that our customers demand. We believe that AI will augment software companies that leverage and deliver its value. This is especially true in vertical, highly regulated markets like health care where moats and years of expertise matter. Weave has spent almost 2 decades building for the unique needs of SMB health care practices. Health care workflows are highly customized. Scheduling, billing, insurance verification and patient communication vary by specialty and by location. Delivering reliable AI-powered workflows in these environments requires authorized integrations with systems of record, regulatory compliance, scalability and predictable execution. Most importantly, it requires trust with providers and patients. With almost 40,000 customer locations and billions of patient interactions flowing through our platform annually, we have the data moat at scale that cannot be replicated by horizontal generative AI providers. Our extensive industry-specific data allows us to deliver high accuracy without exposing PHI. This domain expertise and trusted data foundation are durable competitive advantages. Our customers are health care providers, not technologists. Doctor owners are focused on delivering care and running their businesses. They do not have the time, resources or desire to build and maintain custom applications, particularly in an industry that has historically lagged in digitization and monetization. And that is a huge opportunity for Weave. Practices operate within strict privacy, security and regulatory frameworks. They look to trusted software partners to navigate that complexity. Weave integrates with the practice management system, utilizes the trusted practice phone number, owns the phone hardware and telephony stack and is deeply embedded in daily operations. We have yet to encounter a customer or prospect planning to replace that infrastructure with a homegrown solution. Instead, practices are seeking greater automation inside the systems that they already rely on. The acquisition of TrueLark added AI Receptionist to our offering, embedding agentic functionality directly into our platform. Our capabilities go beyond reactive automation to deliver proactive execution, scheduling appointments, verifying insurance eligibility, collecting payments, identifying coaching opportunities, analyzing outcomes and escalating to staff for full conversational context is preserved. This further establishes Weave's role as a system of work inside the practice. Additionally, we recognize that AI has the potential to disrupt some software revenue models such as seat-based licensing. However, we license per location and based on consumption, not per seat. In fact, headcount reductions in a practice lead to even higher usage and dependency on the Weave platform. As we add agentic solutions to handle additional workflows, we capture share of wallet from the practice's labor budget historically allocated to administrative staff or call centers. This simultaneously reduces practice costs and improves ROI. Adding isolated AI tools does not reduce the cost or complexity of running a health care practice. As AI becomes table stakes, the premium shifts to platforms that can act, not just inform. Weave is uniquely positioned to be that platform. Turning to our plans for 2026. TrueLark is the foundational building block of our AI Receptionist capabilities. TrueLark accelerated our road map by adding an established text-based AI agent that handles common FAQs, manages inbound leads and automates scheduling and rebooking. The acquisition materially expanded our TAM by extending Weave deeper into the front office automation and addressing -- and directly addressing the single largest component of the practice's cost structure, staffing. This is both the biggest expense and one of the most operationally complex challenges practice owners face. One of our largest customers is now booking over 1,200 appointments per month using our AI Receptionist, work that would otherwise require full-time front desk staff or just be missed. As that customer put it, "When you're thinking of software cost to cut, it is one of the last things you will ever consider because it is one of the few things that actually is bringing in revenue to the business". In Q4, we launched a unified inbox that consolidates TrueLark agentic conversations and Weave's staff interactions into a single contextual view, removing the need to toggle between systems. We continued building voice capabilities, enabling the same AI agent to operate across text and phone. In the first half of 2026, we expect general availability of our omnichannel AI Receptionists across all vertical markets. This enables practices to answer calls 24/7 with an AI agent that can address common questions, request or book appointments and intelligently hand off more complex interactions to staff when needed. These conversations are transcribed and posted into our unified inbox, preserving full context across both AI agent and staff interactions. Weave Call Intelligence then automatically prioritizes important requests and creates follow-up tasks. In the second half of 2026, we plan to extend beyond scheduling to more autonomous intake and payments, including automated payment requests after claims adjudication and the collection of co-pays and pretreatment deposits directly within scheduling flows. This is a deliberate phased rollout with a larger opportunity to expand AI across front and back-office workflows. We are excited about the opportunity ahead in 2026. Our AI road map expands our TAM, deepens Weave's role in the practice and leverages our market-leading position and scale. Before Jason dives into the financials, I wanted to recap a couple of additional highlights from our 2025 growth vectors. The specialty medical vertical continues to stand out as one of our most attractive growth opportunities. This space grew to become our second largest vertical by location count in Q2 of '25. That momentum continued, and we added more specialty location -- specialty medical locations in Q4 than in any quarter in our history. Specialty medical comprises 29 specialties, and we currently focus on just 4: primary care, physical and occupational therapy, aesthetics and medspa. Next, Weave payments grew at more than twice the rate of total revenue in 2025 with strong early adoption of new capabilities like automated payment reminders, bulk collections and surcharging. Today, we announced a partnership agreement with CareCredit, the leading patient financing solution used by over 285,000 health and wellness locations nationwide. This integration is expected to give Weave customers greater visibility into available patient credit, streamline the credit application process and improve treatment acceptance rates by making care more accessible. In conclusion, we've delivered consistent revenue growth, expanded margins and free cash flow while continuing to invest in innovation. Just as importantly, the customer successes we see today give us confidence that this value creation is repeatable and sustainable. Weave is defining the intelligent health care front office. We are building a durable, scalable business that delivers on our commitments, and we are excited about the long-term value we can create for both our customers and our shareholders. Both myself and the Weave management team entered 2026 very excited about not only the opportunity ahead of us, but also our very unique position to capitalize on the opportunities and deliver additional value to our markets. I want to thank our customers, partners, team members and shareholders for your continued trust in Weave. The progress we've made gives us strong confidence in the path ahead. With that, I'll turn the call over to Jason for a deeper discussion of our financial performance.
Jason Christiansen: Thanks, Brett, and good afternoon, everyone. It was another solid quarter and a strong finish to the year for Weave, reflecting continued momentum in our growth initiatives and disciplined execution across the business. The growth in our product suite this year, including the acquisition of TrueLark, expanded our estimated total addressable market by roughly $7 billion to an estimated $22 billion. We believe there is further TAM expansion on the horizon as we add capabilities to our AI Receptionist. Across our established verticals, we see a meaningful runway for continued growth. In dental, our initial market, we are in fewer than 15% of U.S. locations, highlighting the depth of opportunities still ahead. For example, we has recently been selected and endorsed by the American Dental Association as its exclusive patient engagement solution, giving us co-marketing access to their 160,000 members and reinforcing our leadership position in the dental market. Specialty medical is our largest and newest U.S. market opportunity, and we remain in the early stages of penetration with roughly 1% share. We see a clear path to building a significantly larger business with our growing suite of AI-powered solutions, expanding market share and increasing average revenue per location. Moving to our financial results, starting with the fourth quarter, we produced $63.4 million in total revenue, which represents 17% year-over-year growth, driven by payments and the addition of new locations. Gross margin for the quarter was 73.3%, representing a year-over-year improvement of 70 basis points. We have delivered sequential gross margin expansion in 15 of the past 16 quarters, including a 30 basis point sequential improvement in Q4. Margin improvement was primarily driven by ongoing efficiencies in our cloud infrastructure and amortization of phone hardware and payment terminals as devices older than 3 years become fully amortized. We also continue to benefit from the growing contribution of higher-margin payments revenue. Total operating expenses for Q4 were 70% of revenue. General and administrative expenses were $9.6 million and provided the most year-over-year operating leverage improvement in our business. General and administrative expenses improved to 15% of revenue from 17% in Q4 2024, a decrease of over 200 basis points. Research and development expenses were $8.9 million or 14% of revenue, which represents a decrease from 15% in Q4 2024. Sales and marketing expenses totaled $25.6 million or 40% of revenue. As discussed in previous earnings calls, we made a number of targeted investments in 2025. We added sales capacity in mid-market. We grew our upsell team to increase product attach rates, including payments through a new dedicated payment sales team, and we built out a channel sales team that focuses exclusively on selling through commercial partnerships. We also increased our marketing program spend to increase brand awareness and demand in the specialty medical vertical and in promoting our AI Receptionist to new products. Mid-market and specialty medical sales accelerated in 2025, and we finished the year with strong sales performance and a healthy pipeline to start 2026 behind these investments. We continue to optimize our sales and marketing efforts and anticipate some improvements in sales and marketing efficiency in the second half of 2026. Operating income for the quarter was $2.3 million, an improvement of over $500,000 compared to Q4 2024. This represents an operating margin of 3.6%, a 30 basis point improvement over the prior year and a 90 basis point improvement sequentially. Turning to the balance sheet and cash flow. We continue to see strong liquidity and free cash flow. We ended the quarter with $81.7 million in cash and short-term investments, an increase of $1.4 million sequentially. Cash provided by operating activities in Q4 was $6.2 million, and free cash flow was $4.4 million. Free cash flow for the full year was $12.9 million, which represents 24% year-over-year growth. Our net revenue retention rate in Q4 was 93%. Our gross revenue retention rate was 89% and remains very strong for companies serving SMB customers. As a reminder, our reported retention rates are a weighted average of the previous 12 months retention rates. As such, it can take several quarters for the progress we are currently making to show through our reported retention metrics. I will provide additional onetime metrics in this year-end recap, which we believe may be helpful in understanding 2025 retention rate trends. First, when looking at gross retention, we implemented a number of initiatives in 2025 that improve the customer experience, including more tailored onboarding, new products and refined product packaging, which along with greater integration coverage and depth across all verticals, helps ensure customers receive the value they expect. These efforts yielded a steady reduction in churn in the second half of 2025, and Q4 churn returned to our 2023 and 2024 churn levels. We expect gross revenue retention rates to trend back to historical ranges of 91% to 93% over time. Previously, we highlighted how integrations with practice management systems affect churn. Customers who purchase Weave products that are not yet integrated with practice management systems or that have basic read-only integrations typically have higher initial churn rates. New verticals like specialty medical typically start with higher churn rates, which improve over time as we increase the number and depth of practice management integrations. Additionally, we have seen the ongoing trend of single locations being acquired by larger groups. While we may lose single locations to multi-location groups through acquisition, our investments in mid-market and AI, combined with high customer satisfaction rates, position us to potentially win those businesses back as part of a larger deal. Transitioning to net revenue retention rates, we discussed previously that our net revenue retention rate in the first half of 2025 was bolstered by the effects of a price increase in 2024, which accounted for approximately 250 basis points of uplift. We lapped the effect of that price increase in the first half, and our net revenue retention rate has subsequently decreased accordingly. It's also important to note that our reported retention metrics are measured on a location basis, not on a customer or logo basis. Approximately 2/3 of our current customer base is single-location practices. The addition of another location within a multi-location customer does not improve our net revenue retention rate. Looking solely at multi-location groups on a logo basis, our net revenue retention rate is 102%, while our net revenue retention rate is 93% for single-location practices. Multi-locations have a higher net revenue retention rate on a logo basis because of location additions. My final point is that our ability to expand net revenue retention has been limited because customers often adopt most of our product suite upfront. Customers often consolidate multiple point solutions when they purchase Weave's unified platform. This establishes higher initial revenue capture, though this historically limited our near-term upsell opportunities. We have seen this dynamic reflected in average revenue per location growth, which grew 10% over the past 2 years even as net revenue retention declined over the same period. However, the addition of TrueLark and faster product development cycles are now meaningfully expanding the upsell opportunity within our installed base. Our insurance eligibility and TrueLark products drove acceleration of upsells in Q4, and our penetration into the installed base for both products is still less than 2%. We ended 2025 with 39,625 active customer locations, an increase of 4,628 locations year-over-year. Before turning to our outlook, I'll briefly recap full year performance. For 2025, total revenue grew 17% to $239 million. Gross margin for the year expanded to 72.7%, up 80 basis points from 71.9% in the prior year. We delivered full year operating income of $4.1 million, representing an operating margin of 1.7% compared to 0.4% last year. This marks another year of progress in profitability, and I would like to highlight that this year's improvement came while also making targeted investments in growth initiatives, which reflects our ability to balance growth while making investments into our business. We are pleased with our progress this year and would like to thank our team members at Weave, our customers and partners for their contributions throughout the year. Looking ahead, we remain encouraged by the strengthening foundation of the business and the opportunities in front of us. For the first quarter of 2026, we expect total revenue to be in the range of $64.2 million to $64.8 million. We expect to improve first quarter operating income year-over-year and for it to be in the range of $1 million to $2 million. As a reminder, there are seasonal factors that result in a sequential increase in expenses in Q1, including the reset of payroll tax limits, benefit renewals taking effect and the timing of the annual audit fees, which are weighted more heavily in Q1. We remain committed to delivering improving margins while maintaining our bias toward growth. We are beginning to benefit from the investments made in 2025, such as those made in sales and marketing, and we will be flowing an increased percentage of incremental revenue into operating income in 2026. For the full year 2026, we expect to grow total revenue to be in the range of $273 million to $276 million. With the new products Brett discussed, which will be released throughout the year, we expect the impact of these products to positively impact revenue growth in the latter half of the year. We also expect to improve non-GAAP operating income year-over-year to be in the range of $8 million to $12 million. We expect our weighted average share count for Q1 to be approximately 78.7 million shares and approximately 79.9 million shares for the full year. In closing, I share Brett's excitement about our 2026 road map and our position in the market. We delivered a strong 2025 marked by solid revenue growth, continued margin expansion and improving profitability and cash generation. We remain confident in our strategy and our ability to execute as we continue to balance growth and profitability improvements. With that, I'll turn the call over to the operator for Q&A.
Operator: And our first question comes from Parker Lane of Stifel.
Matthew Kikkert: This is Matthew Kikkert on for Parker. To start, can you talk a little bit more about the CareCredit integration that you announced this morning? Just curious if that your focus is to drive incremental payments attach rate, more average payments volumes across existing customers or something else?
Jason Christiansen: Yes. Great to catch up with you, Matthew. The CareCredit partnership, what that really does is open up another avenue for us to capture volumes that otherwise would flow through CareCredit themselves. They are the largest provider of patient financing solutions in the market. And this gives us access through the partnership to some of the volumes that otherwise would flow through them. So there's work now to be done on the integration and bringing that directly to market. So today, we just announced that we completed the partnership, and we'll have more color to provide in the future.
Brett White: And I would add, this is kind of just the next step in our payment strategy. So kind of starting with basic payment processing, then moving into more additional financial tools, additional financial vehicles that allow our customers to offer their patients. So it makes -- takes our payment solution to basically a financial solution and the practices have more tools to offer their patients, whether it be financing through CareCredit, financing through themselves, using the Weave tools to schedule payments. So it just makes the payment product more attractive, stickier in addition to attaching more volume.
Matthew Kikkert: Okay. And then secondly, for 2026, what are your expectations for growth rates across the different subverticals?
Jason Christiansen: Yes. We're starting the year in a great position. We haven't broken out the growth rates for each one of the different -- the verticals that we serve. But we continue to anticipate strong growth across the growth vectors that we've talked about around specialty medical. We just talked about how Q4 was our strongest quarter from an additions perspective there. Mid-market grew nicely in 2025. We expect that to continue. And so not -- I can't speak to the underlying components, but we do anticipate to continue to see momentum and growth through those -- through the same channels.
Brett White: Yes. And I would add, we expect specialty medical probably will be the strongest grower just because of the opportunity set here and all the work that we've done on adding integrations throughout this year, continue to add them throughout the year. Some of the marketing dollars that you saw that we spent in Q4 is really around developing our brand presence in that sector. So we expect that to grow, continue to be the fastest grower. I expect all of our verticals to grow nicely. The omnichannel AI Receptionist that we're rolling out is really valuable to kind of all verticals in integrated and not. I mean the tool is quite useful even without a PMS integration. So I think I expect solid growth in all verticals, but I think specialty medical will probably lead the pack.
Operator: And your next question comes from the line of Alex Sklar with Raymond James. We'll move on to our next question from Hannah Rudoff with Piper Sandler.
Hannah Rudoff: It was encouraging to hear that stat about the one customer, I believe you said who scheduled 1,200 appointments using your AI Receptionist. I guess longer term, as you think about it and you launch more AI capabilities and you complete the rollout of this unified inbox, how do you think about pricing to capture the value that you're delivering?
Brett White: Yes. So we will definitely be able to monetize it. I think still being worked out is, is it priced as an additional module? Or is it priced as included in a bundle. So for example, you may have stand-alone TrueLark now and if you want to go to the fusion inbox where that brings everything from TrueLark and we -- all together in one place, which is the ultimate destination, is that a premium product that we price for. The really important concept, though, is that we're now going ability to attach to the labor budget because we can just prove how we save labor and how we drive revenue. So we're very confident that we can monetize the additional AI omnichannel Receptionist functionality, and I think we'll work it out over time. I think a really important point is we don't license by seat. We license by location and then consumption. And we're confident that these tools will produce a lot of value for the practices, and we'll be able to monetize them accordingly.
Hannah Rudoff: Totally makes sense. And then, Jason, I really appreciate the additional color you gave this quarter around NRR and the multi-location NRR you shared. I guess you've talked about churn being higher and average sales prices being lower initially in some of your newer verticals as you have newer integrations and some of the solutions are nonintegrated. I guess have you seen these metrics stabilize for some of your oldest specialty medical cohorts? Or does that take longer than a few years to kind of stabilize and average with historical metrics?
Jason Christiansen: Yes. Thank you for the question. We saw the same phenomenon. I highlighted how we saw churn decrease through the second half of the year in Q4 return to 2023, '24 rates. We saw a nice improvement in specialty medical as well in Q4. And so we've already started to see some of the improvements there. We've delivered a number of integrations on that front. We've expanded our coverage on that front. And so as those have started to mature, we're encouraged about making that declaration about where churn will trend back towards because we're already starting to see some of the proof points there that we've been talking about.
Brett White: Yes. And I would add, Hannah, you mentioned, does it get better over years. And it actually happens more quickly than that. We're seeing it improve over quarters. And it's just as you get your -- improve your integrations, depth, breadth, churn rates come down. And not only do churn rates come down, but CAC comes down over time as you develop a brand, you have more word of mouth, you're more familiar in the trade shows. So it's a virtuous benefit that comes over -- trends over time. And then if you say, well, how do you know that? It's just from our history, looking through all of our verticals that we enter. And that's one of the reasons we do it as a step function as opposed to just doing a shotgun blast in a lot of verticals because the idea is you go into initial vertical, ASP is lower, CAC is higher, churn is higher. You work through that, ASP comes up, CAC comes down, churn comes down and then you kind of go into a new vertical and you kind of just stage it that way. And I've been in vertical SaaS and payments for over a decade, and this is the pattern I've seen throughout that entire period.
Operator: And we will come back to Alex Sklar for your next question from Raymond James. Okay. We will move on to Mark Schappel with Loop Capital.
Mark Schappel: Can you hear me okay?
Brett White: Yes, we can.
Mark Schappel: Okay. Great. Brett, starting with you, I was wondering if you could just kind of walk through your investment priorities and also hiring priorities for the coming year.
Brett White: Sure. So I think they're the same, our investment priorities and our hiring priorities. So that's good. I think #1 on our hiring and investment priorities are product and engineering, where we've got a really unique advantage with -- since we own the telephony stack, we have the practice phone number, we have the data, we are really uniquely positioned to take the AI Receptionist technology from a text experience to kind of a native inside of Weave and then make it a full voice experience. And so we are really leaning hard into that, and investing against hiring engineers and product people to make sure that we can execute effectively on that one. I think other investment priorities are on the GTM side, go-to-market side. And we've actually made a couple of changes to our model at the end of this year and into next year, we're actually -- we used to go to -- we used to have a full-service AE model, and now we're kind of moving more to an SDR AE model. It's more efficient, and it seems to be working. So early proof points are good there. And I think those are the big investments we're making certainly in the first half of the year.
Mark Schappel: Okay. Great. And then as a follow-up, some of your competitors are also highlighting AI in their products. I was wondering if you could just talk a little bit about how Weave is either differentiating or plans to differentiate its AI automation capabilities from those of your competitors?
Brett White: Sure. So we see lots of companies who are -- some have some products, some just put AI on their website. I think our unique -- well, I know our unique differentiators are kind of what I started with is we own the telephony stack. We've got the trusted relationships, and we own the very specific complex industry-specific workflows. We're a trusted partner of these businesses. And they really -- I meet with customers, and they'll show me all the products they have and they say, what? Which of these can Weave do, please? They really want to consolidate functionality. So the idea of saying, for example, having an AI chatbot up in one window and Weave up in another window and the PMFs in another window, it just doesn't work great. And so we have the opportunity to bring all of those workflows together. And because we have the full experience, we can retain context through the whole discussion. So you may start with a text or you may start with a call and then the call transitions to text and then the text maybe gets escalated to a specific person and the staff who can handle only -- specifically handle that question. All of that interaction, whether it's voice or text gets retained in one place. And it also gets analyzed by our Weave call intelligence, so then you can create action items, you can create tasks, you can actually perform work, whether it be issuing an invoice, filing and checking on insurance verification, booking an appointment, rescheduling an appointment. So having the deep integrations, the deep workflows, the subject matter expertise, the relationships and the ability to kind of have seamless handoff is a real, real differentiator. These highly specific workflows are hard, and you have to learn them over time. If you get an appointment wrong, so for example, someone wants a crown done and you book a 30-minute appointment for a cleaning that really hurts the practice's day. And so having that knowledge, that experience, we've got billions of these interactions, and we know kind of over time, what type of calls result in what type of outcomes, and we can optimize practice operations using that knowledge and that deep expertise.
Operator: And we will come back one more time to Alex Sklar with Raymond James.
Alexander Sklar: Can you hear me now?
Operator: Yes, go ahead.
John Messina: It's like third time's a charm. This is actually John on for Alex. Brett, maybe we'll start with payments here. It's great to hear about the continued strength in payments. It's been a nice growth driver for you. I'm curious, though, any comments you can share on growth differences you're seeing by end market? And then maybe how we should think about payments growth and payments attach rate in 2026 and over the medium term? And then I have a quick follow-up.
Brett White: Right. So I can give you some product growth highlights, and maybe Jason can talk about sectors. So we released this year a couple of really cool new features, bulk collection, but surcharging. Surcharging has been very well received. It's a great upsell product. And that is actually driving some pretty reasonable, almost significant volume growth from the new customers who adopt it. And of course, surcharging is your ability to charge the patient for the credit card fee. And so that gets us not only a better take rate, but more importantly, it just gets us more volume. So that's in early stages, but we're seeing some very nice green shoots on that one. And I'll let Jason talk about sectors.
Jason Christiansen: Yes. So some of the -- I think the best -- one of the best ways to think about payments in the sectors and how it differentiates for us is when you think about the economics of a practice, the average dentist within a practice will do about $1 million in gross billings a year. And about 50% to 60% of that will go through an insurance process. So the remaining 40%, 50% is our opportunity to go after that. So when we think about going after the performance in different sectors, what's really important is to understand what the insurance component within each one of the sectors we go after or that we sell to have and what just the nature of their economics are. And so like in specialty medical, when you're dealing with primary care, you're dealing with significantly higher insurance coverage rates. And so the payments opportunity for us in that space isn't as great as it is in like aesthetics or in veterinary. And so we try to align our go-to-market efforts with the needs of those industries and the opportunity for us to expand revenue per location through them. So that's how we think about the different specialties. And it's a contributing factor. Brett talked about how we approach the different specialties and the next verticals in a step function. we look at the overall economics of those specialties as we decide what are the next specialties or the next verticals that we open up. And it's something we consider there across all the different solutions that we offer.
John Messina: That was great color there. And then, Jason, maybe just a follow-up on the NRR improvements. I know it's been touched on in earlier questions, but specifically, I do want to understand how additive do you think some of the newer products like the TrueLark and your organic product expansion can be to NRR growth in 2026 and maybe over the medium term, kind of what's embedded in the guide there?
Jason Christiansen: Yes. So what's embedded within the guide, a lot of the growth from the AI receptionist follows the time line and the road map that Brett laid out in his remarks. So it biased more towards the second half just based on the time line for when those products roll to general availability. I think the opportunity for growth is really strong. From a net revenue retention perspective, we're still in the early days of selling that. The impact it will have, I guess I'm not ready to provide a lot of color on that today. There's a significant upsell opportunity, but we also know that customers have typically landed heavy whenever we bring these new capabilities, which could lead to further average revenue per location expansion without necessarily leading to significant net revenue retention expansion. And so I guess we'll -- I'd like to let the dynamics play out a little bit more as we get more sales experience there, but the opportunity is quite significant, really encouraging.
Brett White: Let me just add a little bit more color to the earlier question about why we stands out as having an advantage as we move to these omnichannel AI Receptionists and there's a bunch of them out there. In addition to the things I mentioned like domain expertise, a really important one is, frankly, our scale and the fact that because we're a public company, because we have scale, we have to do it right. So when it comes to data, maintaining the data security, maintaining and ensuring that the data is used properly. compliance. We've got HIPAA, we've got PHI, we've got PCI. We've got all these rules and that we have to comply with and reliability and scalability and security and being able to support the full experience front to back. These are just a lot of things that buyers are becoming more and more concerned about, especially large groups that some of these smaller kind of newer businesses just don't have the scale or the financial ability to comply with or frankly, it's probably not as much of a focus for them. And for us, it's just absolutely table stakes.
Operator: There are no further questions at this time. I will now turn the call back to Brett White for closing remarks.
Brett White: Well, thank you all for joining the call. We're super excited about 2026, and thank you again to the entire Weave team for posting an incredible 2025. Thank you.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.